Operator: Greetings, and welcome to the IZEA Incorporated third quarter 2014 update call. [Operator Instructions] I would now like to turn the conference over to your host Mr. Ryan Schram, Chief Operating Officer of IZEA Incorporated. Thank you. You may begin.
Ryan Schram: Good morning, everyone, and welcome to today's IZEA Q3 2014 investor update. I'm Ryan Schram, Chief Operating Officer at IZEA. And joining me on the call is IZEA Chief Financial Officer, LeAnn Hitchcock; and IZEA Founder, Chairman and CEO, Ted Murphy. On behalf of all of the members of team IZEA, we are very pleased to have you with us today. During the course of today's call, we will discuss our business outlook and probably make some forward-looking statements regarding the company and its business. These statements are predictions based on our management team's expectations as of today. Actual events or results could differ due to a number of risks and uncertainties, including those mentioned in our most recent filings with the SEC. IZEA assumes no obligations to update any forward-looking statements made during this call. Now with the appropriate disclosure out of the way, let's get started. Here's IZEA Chief financial Officer, LeAnn Hitchcock, to walk us through IZEA's financial performance in the third quarter. LeAnn?
LeAnn Hitchcock: Thank you, Ryan, and good morning, everyone. I am pleased to share that IZEA has achieved another record breaking quarter on multiple fronts. IZEA posted its best Q3 revenue in the history of the company. Revenue increased 23.4% to $1.93 million in Q3 2014 versus $1.57 million in Q3 2013. This is a direct result of our record breaking bookings in Q2 of 2014. Revenue from booked business is typically recognized within 90 days of the initial sale, though some larger campaigns may take longer to fully recognize. Gross profit margin for the quarter was 64%, down from 68% during the same period in 2013. This is primarily attributable to the higher utilization of premium creators in our system on campaigns during the third quarter of 2014 that often provide us with lower margins. Operating expenses for the quarter were $2.8 million compared to $1.7 million in the same period in 2013. We are actively making investments in sales and engineering personnel, marketing and investor relations. Growth in expenses will outpace revenue growth in near-term in order to provide the infrastructure to create greater growth later this year and beyond. Net income for Q3 2014 was $685,000 compared to a loss of $975,000 in Q3 2013. This large income is primarily due to a $3.2 million income for the change in fair value of the company's warrant derivative in the third quarter of 2014, offset by increases in operating expenses. Basic and diluted earnings per share was $0.01 for the third quarter of 2014 compared to basic and diluted net loss per share of $0.08 for the third quarter of 2013. I will now pass it over to Ryan, to speak a little bit about our quarterly bookings information and the client branch we partnered with during the quarter.
Ryan Schram.: Thanks, LeAnn. At the center of IZEA's client development philosophy and overall growth strategy is building lasting relationships with world leading brands and agencies that support them. Our team benefits from unique attribute of the sponsored social space and that our clients range from public relations practitioners to retail marketing specialists to brand managers, all of them have different and goals and budgets to fund campaigns with IZEA. This is different than older traditional mediums that generally access only one budget silo, such as media moneys. As a result, we have invested in increased client development personnel throughout the course of 2014 to capitalize on the opportunity in front of us. Not only by growing the depth of our client relationships, but to also leverage the breadth of budgets available to our category. As we take a look back at Q3, let's start with one of our most important KPIs bookings. Our team hit a new record of third quarter bookings in 2014 with $2.02 million net dollars in the books, an 8% increase over the same quarter last year. What we are most excited about is that IZEA celebrated its first ever $1 million-plus month of net bookings just in September. Our team believes that month like September are yet another signal of the increased interest of brands having sponsored social. This is demonstrated by access to larger budgets and more frequent utilization of the medium overall. But even with that positive momentum, our team is not sitting back, letting the business just come to them, instead we're proactively pursuing new and existing business alike. This resulted in new opportunity pipeline. In other words, the value of the proposals placed in front of clients of $16.4 million in the third quarter, that's a 74% increase in activity than the same period in 2013, and a demonstration of what client development resources help accomplish in a company like ours. We look at new pipeline creation as the most important upper funnel KPI of this unit, as we logically can bring more business without first providing a proposal for it. On the top of the client diversity, at the encouragement of our advisory board members, IZEA began to pursue the political and industry trade association categories during the course of quarter three via team members in our east region, which has received a warm response from those perspective clients and even an early win in September. Another metrically active measure is the ratio of new and existing clients working with IZEA. During the third quarter, we were privileged to welcome back number of our loyal customers, including BIC, Clorox, ConAgra, Dean Foods, Johnson & Johnson, Groupon, Unilever, Post Foods and Sprint amongst others. Those clients made up approximately 46% of our third quarter net bookings. But we also welcomed new members to the IZEA family during the quarter as well, including 3M, Beam Brands, Butterball Turkey, CBS, Chiquita, Purina and UPS amongst others. At the conclusion of the third quarter, the quota carrying members of IZEA's client development staff totaled 36 people in six locations, but the vast majority is based out of our Winter Park headquarters, in addition to our field offices in New York City, Los Angeles, Chicago and Detroit. What's particularly notable is that 14 of those 36 individuals have been with the company for six or less months, meaning that their expected impact to our model isn't really even to fiscal '15, as they ramp and get acquainted with the company. That said, we've seen contributions from many of them ahead of schedule, which I believe speeds to our management team's focus on onboarding and continuing education for all our staff members. Now, for some additional insight about IZEA and a look at what's ahead, I'll turn the call over to IZEA Chairman and Chief Executive Officer, Ted Murphy. Ted?
Edward Murphy: Thank you, Ryan. Q3 was an incredibly important and foundational period for the company. We added a large number of new people to the organization. At the end of Q3, our total staff was 83 people. We've been actively onboarding and training these individuals, so that they may become productive team members as quickly as possible. We moved our entire staff twice in order to accommodate renovations and expansion at our headquarters in Winter Park. This is always a bit of a disrupted process, but we are now settled into our new home with room to expand, as our company continues to grow. We began the final stages of sunsetting our legacy technology platforms, which is now complete. We are no longer running new sponsored social opportunities through our old platforms, freeing our team to move on from the technical debt and maintenance overhead associated with these systems. As of quarter end, we had 96,000 registered users in IZEAx, up from 66,000 in Q2, an increase of 45%. The IZEAx aggregate network reach grew from 530 million to 965 million during the quarter, an increase of 82%. Even more exciting, the IZEA Exchange crossed 220,000 registered users this month and our reach is now in excess of 2 billion fans and followers. No blog or influencer network comes close to that number. Part of that is because IZEA isn't a closed network, it is an ecosystem that allows others to build and manage sub-networks of content creators and publishers on top of our technology platform. Our original goal was to have 12 partners by the end of fiscal year '14. At the end of Q3, we had 23signed IZEAx partners. We believe our platform solves real problems for our partners, their strong interest in working with us, and we're still not aware of any other solution that meets these partner needs. In Q3, we signed media company, Meredith, as well as SoundAmp and Allison Partners among others. We are currently in late stage discussions with several of the world's largest agency holding companies to offer a white-label solution for their entire organization. We've been granted U.S. trademarks for the term Native Ad Exchange, IZEAx and IZEA Exchange, and eagerly anticipate comments from the USPTO on our patent application for the platform. While initial implementation and signing in partners has occurred faster than we originally expected, driving buy side activity has been slower than we had hoped. In many cases, we are dealing with large organizations and complex sales structures. There often needs to be realignment of sales incentives and directives with our partner sales programs, and materials and processes need to be developed that differ from those that we use internally. As a result, we are just now starting to see the early signs of buying activity in mid-Q4. It will be several quarters before we see a meaningful contribution to revenue from partners. However, we have known that this was going to be a learning experience from the outset, as no company has done what we are in the process of doing. Our budgets and forward-looking plan are largely dependent on our internal sales efforts, which are more predictable and in our control. In addition to growing our core business organically, we have been presented with a number of acquisition opportunities. There is great interest in this space in complementary technologies, services and networks that can provide benefit to our creators, brands, agencies and media company partners. We are actively engaged in discussions with the handful of companies ranging from $1 million to $8 million in annual revenue. Given the fragmented social sponsorship and content marketing landscape, we believe there is an opportunity for some consolidation and strengthening of our market position. We will evaluate each of these opportunities through a strategic lens and determine which opportunities to pursue based on the creation of client and shareholder value. While our focus remains on building the business, we continue to be active in our communication with IZEA shareholders and potential shareholders. I will be presenting at the LD Micro Conference in Los Angeles in December. If you happen to be at the event, I would welcome the opportunity to meet with you. Now, I'd like to open up the phone lines for any questions.
Operator: [Operator Instructions] Our first question comes from Matt Tiampo with Craig-Hallum.
Matt Tiampo - Craig-Hallum: Congratulations on a nice solid quarter and really some very compelling metrics on the new opportunity of pipeline in bookings. Maybe you can give us a little bit of color, you noted especially strong September bookings number, was there anything anomalous in that month? And how has bookings activity proceeded since then?
Edward Murphy: I think that we benefited in that month from some larger campaigns that came through. One of the things that we are definitely seeing as a trend is that we are seeing a lot more six figure opportunities that take a bit longer to close and actually long-term, a little bit longer for us to recognize as revenue. But we're getting more advance with those bigger opportunities, the clients are moving the budgets up, and deals with first-time clients are much larger than they were in the past. So it would be typical to see first-time buy some clients ranging in the $10,000 to $20,000 range in the past and now we're seeing those be much larger opportunities. And as the sales force has kind of shifted from older more experienced sales people that have been here with us longer to newer sales people, those sales people are chasing after new clients and going at those clients the first time with much larger budgets than we had in the past.
Matt Tiampo - Craig-Hallum: Nice additions to the sales force in the quarter. I think to 36 from maybe 26, I think last quarter. I believe your original goal for the year was 40. Do you plan on expanding to that point in Q4? And then what are your plans for sales as going forward? And do you think they will accelerate. Any potential additions?
Edward Murphy: I'll let Ryan speak to that. He is really leading that effort for us.
Ryan Schram: Our current plan is to be at that 40 number before the end of this year. And ultimately as we look through the fiscal '15 and beyond, given this dynamic of larger opportunity sizes and just more ad-back in general, we don't feel we need to have to keep on doubling our sales force or double our revenue. We believe that there need to be moderate growth obviously to address a churn that might be there, but our hope is that based on trajectory of industry plus our top leadership position, that we can really receive value from the staff we have in place with a couple of other incremental [ph] highers of EBIT.
Matt Tiampo - Craig-Hallum: The new pipeline growth was really impressive in the quarter. I guess similar to my question about bookings, was there anything sort of anomalous picture over that result and do you think it's a sustainable one going forward?
Ryan Schram: Yes. I don't know if there is any anomalies that we address. I would say that what we're seeing is a very defined broadening of the types of categories from a marketing perspective that are beginning to utilize sponsored social that may have not before. In particular, we're seeing increase in activity in the automotive category. We're seeing increased activity, as we addressed in the call, in a wholly new focus for us, which is governmental affairs. So it's not just the depth, it's also the breadth for us.
Matt Tiampo - Craig-Hallum: It sounds like you guys finished the transition in Q3 under the new platform, should we expect any lingering sort of intricacies or headwinds to the results from that transition to take place in Q4?
Edward Murphy: No, I think that one thing that you will see with this transition is there will be some delays in the recognition of revenue as a result of the business logic in the new platform, so in our old model with sponsored tweets, we were able to recognize revenue three days after the tweet went out, because we would actually detain that tweeter three days after the tweet was done. We've now extended that to 30 days in the new platform, so that the tweeter does not get paid until 30 days after they have put that tweet out. And that was really done for us to do two things. It allows us to delay the payment a little bit, so that it is more closely aligned with one we are actually getting paid by clients and it also reduces the risk for potential fraud where transactions are going through and we don't enough time to analyze those things and make sure that everything is on the up and up. So you will likely see some of that impact in Q4 where some of that revenue gets pushed off until Q1, but then moving forward in 2015 that were all be kind of normalized from that point forward.
Operator: Our next question comes from Bill Musser, New Frontier Capital.
Bill Musser - New Frontier Capital: In terms of the new exchange, are there software issues where the white-label people have difficulty sort of accessing your APIs or is it pretty seamless for them to get interface to our system and get up and running. And then I've got a couple of other questions.
Edward Murphy: There are no outside APIs that are available right now, so everything that we use from an API standpoint remains closed to our white-label partners using the actual software itself. There is no kind of outside access at this time. That is something that we are going to be releasing later in 2015, as we continue to stabilize everything and feel comfortable that we've released the right APIs with the right level of support. Part of that is also just making sure that we have enough of the engineering staff here to support that properly and make sure that we're able to deal with yet another layer of technical maintenance that is required.
Bill Musser - New Frontier Capital: So just to follow-up on that, in other words, if CBS wants to get up and operating on the platform and Meredith which you just announced wants to get up and operating on the platform, is the challenge to integrate those two companies different for each one or is it pretty seamless and there isn't easy way to do it.
Edward Murphy: We're talking about kind of two different things, and the API would allow them to say pull financial information into a third party accounting package, so when we talk about APIs, that's what we're really talking about. In terms of a partner getting up and running, literally they can get up and running in the same day. They are running on the exact same platform that we are running on and all the partners using essentially the same technology with different window dressing.
Bill Musser - New Frontier Capital: And the second question, you sort of evidenced interest in doing some acquisitions. What are you looking for in those? Is it bringing in new advertisers, is there technology that you want to bring to the party? What are you looking for, if you do an acquisition?
Edward Murphy: There are number of things. Bringing new advertisers in, bringing new creators in, adding new layers of data that provides value to either one of those parties is also interesting, providing any new access to different types of partners or publishers is also very interesting to us. We're seeing a pretty dynamic group of targets that are out there that could all potentially help us in one way or the other. I think the question is, which one is the best fit at which price and how do we make sure that we structure deals that ultimately provide the most value to our clients and to our shareholders.
Bill Musser - New Frontier Capital: And lastly, is there any new development on the competitive front or are you still the only game in town.
Edward Murphy: I think that we remain the only game in town in terms of providing an enterprise solution to these third-party networks. We're seeing new competitors pop-up all the time in terms of people that are trying to do sponsored post or sponsored tweets, but the reality of it is, is that they're all sub-scale. And now with our reach north of 2 billion, nobody else comes close to that. We just saw an acquisition of BlogHer a couple of weeks ago and they had announced that they had a 20,000 bloggers in their network. Our creator network is 11x that and growing at a pretty aggressive clip. And none of those networks have the celebrity component, the mainstream publisher component that we do as long as or as well as all the medium and long-tail creators as well.
Bill Musser - New Frontier Capital: And just sort of one final question. You obviously have a gigantic pipeline relative to the size of the business and you've just added a lot of new people who have to be coming up to the productivity scale. How do you sort of think about how the pipeline converts or how you predict. I mean to the extent that that's a meaningful measurement, how do you think about using that as a predictor of the future?
Edward Murphy: I mean the key with that pipeline now is making sure that we help those individuals convert at the same rates that we've historically seen. So the great thing is that they are getting a lot of ad backs. They're getting proposals out to clients. There is a lot of interest. The challenge is making sure that those people are coached the right way and mentored, so that when they do get in front of the client and they have that proposal out there that it actually closes. So I would imagine that close rate is probably going to suffer a little bit here for the next quarter or two, as these guys come up to speed and get comfortable. And they're going to have to have a couple of no's, before they get their yes'. But what we're excited about is that they're getting in front of those clients, the numbers that the clients are requesting for these proposals are meaningful numbers. And we believe that we've got the right people onboard, so that overtime we will be able to train them, get them up to speed and get those close ratios up higher, so that they are more reflective of the people that have been here longer.
Operator: Our next question comes from Jon Hickman with Ladenburg Thalmann.
Jon Hickman - Ladenburg Thalmann: Most of them have been answered. Could you give us some sense of how fast bookings turn into revenues?
Edward Murphy: Typically, it's been 90 days or so. We're kind of reevaluating that right now, because what we're seeing with some of these larger campaigns is that it's stretching out a bit further. So I think that that may be adjusted overtime. Historically, what we've seen is, it's been within 90 days or so. But as we get more and more of these larger campaigns that stretch over longer periods of time that may extend that. And so we may need to provide future guidance as to what we expect that to be.
Jon Hickman - Ladenburg Thalmann: I know, you've done this before, but if you could just reiterate briefly how a transaction, say Clorox wants to do a campaign to promote I don't know, dryer sheets or whatever. How they would put that out there, it would go on your network? People who are in the homemaking space would see that opportunity and bid on it, and then accept the first, and so you'd accept people that tweet or blog whatever, until you add as many impressions as the campaign wanted, is that the metric?
Edward Murphy: Well, typically it's based on the number of posts. So what the advertiser is buying is a specific number of posts or tweets or photos, whatever it may be from us. So yes we would engage those people until we met that metric for the client. At the same time, we look at other metrics like reach and number of followers, so we typically have another target on top of that, which is, hey, we're trying to get a 100 posts and we want the effective reach of that to be 10 million people. So we're using the system to optimize on both of those fronts. But what we ultimately are committing to for the client is a set number of posts.
Jon Hickman - Ladenburg Thalmann: Is there a typical, like is there an average number of post and generally how long does it take for a campaign to run? Is there even an average or average of averages?
Edward Murphy: I would say that the typical campaign is going to have hundreds of posts. Some of those campaigns are much larger where they have thousands of posts, and we're able to scale to that using the platform, and that can range anywhere from celebrities on the high-end down to mommy bloggers and college students on the low end.
Jon Hickman - Ladenburg Thalmann: And then my last question is with the new sales people, and you've transitioned off field platform and on to the new network, is there anything that's like holding your revenues back or is there a factor that's kind of in your way right now that you're going to get rid off in the future or you're not worried about anything like that?
Edward Murphy: I think that we just got rid off those obstacles. A lot of what was holding us back was, we were still executing in old platform that didn't have the functionality of the new platforms. They were slower to use, did not have the same level of targeting. And so we are finally free of those old systems, and we have such a large creator base in the new system now that it is much easier for us to execute campaigns and execute campaigns on a much larger scale. Part of what's driving these bigger deal sizes is the advertiser demand and advertiser awareness of this category, but the other thing is we have to be able to actually execute on that. And in the past, while we had a large network and we had some tools, it was really difficult to execute on our $200,000 campaign. It's not that we couldn't do it, but it was painful. Now, the tools make it much more easy for us to do that, and also because of that the sales people are more comfortable pitching those larger campaigns and knowing that they're going to be successful for the client.
Jon Hickman - Ladenburg Thalmann: So with those increased automation are your margins going up?
Edward Murphy: We will have some positive impact on margins from the new structure and revenue splits inside of the exchange, but we will also have some negative impacts on that from partners. So when partners are utilizing exchange, they're actually cut into the revenue and that's a cost of goods for us. So there will be some positives and there will be some negatives. But ultimately I believe that you're going to see some impact on those margins over time as we see more advertise, more partner deal flow coming through. But the positive of that is more deal flow from those partners and less of a cost from our side of building out that sales staff and providing all the marketing support. So that's really the balance there.
Operator: Our next question comes from Menachem Kranz with Ahava Investment Partners.
Menachem Kranz - Ahava Investment Partners: So just two questions. You mentioned a very scary word, it starts with an A and it sounds like acquisitions. Can you tell us a little more about that? And are you thinking about sort of acquisitions that are immediately accretive or what are you thinking about there?
Edward Murphy: Yes. Everything that we're looking at is accretive and has a direct tie-in to our business where we can see value immediately and has revenue tied to it.
Menachem Kranz - Ahava Investment Partners: So in Ted, we trust. And then moving on to a partnership, you talk about a potential late-stages negotiation with some large advertising agencies, is that what you said earlier?
Edward Murphy: It's actually the holding groups is what we're talking about. The agencies are part of the holding groups, but what we are talking about is at a level above the agencies, because so many of those are agencies are held by a handful of larger agency holding companies.
Menachem Kranz - Ahava Investment Partners: And could you describe just very high level, what a partnership like that would like. Are these rev-shares, are these white-label what kind of partnership would this be?
Edward Murphy: These are white-label partnerships where our platform would be the platform that would be rolled out throughout the entire organization for these social sponsorships. It would have a buy-side component, strong buy-side component, because most of these guys have some sort of media buying arm or content-marketing arm, and there is also a sell-side component, because many of these are already trying to build out their own end-points and creator networks and so they can bring those people into these platforms and monetize them in that way.
Menachem Kranz - Ahava Investment Partners: And would there be any minimum sort of predetermined activity that this partner would have to perform?
Edward Murphy: That's all part of the negotiation process. But that's certainly part of our objectives. We are not the big guy at the table necessarily, but we also know that we've got some leverage, and these guys have already worked with us in many capacities. So we think that there is opportunity for real revenue there. And we are dealing with the right people at these organizations to really have a meaningful impact if we're able to come to terms and make it happen. By no means, are any of these things that done deal yet, but we are certainly working on it.
Operator: Our next question comes from Bill Musser with New Frontier Capital.
Bill Musser - New Frontier Capital: One other question for you guys. In terms of the platforms, are the advertisers pretty much agnostic with respect to the platforms that they have the posts or the tweets put on or do they prefer one or the other? And what sort of trends do you see between platforms and are you pretty much okay with wherever they go?
Edward Murphy: We are starting to see a lot of interest in Instagram and YouTube. So we're excited about that. We didn't really offer that as an option at scale before. So part of that is just making it available to our customers and letting them know that they can do larger campaigns through that. I would say that short-form video, be it through Vine or Instagram is of high interest. We don't currently support Vine and that's something that we are going to be rolling out in Q1, is support for Vine. We still have a lot of interest in blog posts. I would say pretty much every campaign we do has some blog component of it. And that's really, because the blog posts allow for deeper content reviews and thought behind the content that's being created rather than just a short promotional tweet or photo. Those blog posts also tend to have a longer life, where they're providing value to the advertiser as opposed to a photo that very quickly moves down to the timeline and isn't going to necessarily be providing traffic a year from now.
Bill Musser - New Frontier Capital: So Facebook gets the benefit of all of that?
Edward Murphy: Yes. I mean Facebook itself is still a very small part of what we do. We're starting to see more interest in that and we just rolled out the pages feature recently. So we may see more and more of interest there, but it's not something that has historically been in high demand, and I wouldn't say that there is overwhelming demand right now either.
Bill Musser - New Frontier Capital: And are your sort of revenue sharing arrangements infringed by any of the platforms. I mean people trying to get part of the action?
Edward Murphy: We don't have any issue with that as if now.
Operator: Our next question comes from George Kafkarkou, a Private Investor.
George Kafkarkou - Private Investor: A very solid quarter. Exciting to hear the new platform within and you're making progress. I have two or three questions if you don't mind. How many customers do we have this quarter? There were 10% customers or greater? I know Ryan you mentioned six or seven impressive names in the 45% category, but were there any 10% or greater?
Edward Murphy: No. There were no 10% customers for the quarter.
George Kafkarkou - Private Investor: A difficult question. How do you guys think about and characterize a 2 billion reach, which I'm still trying to come to terms with. In terms of how do you correlate that to ultimately pipeline and bookings and revenues? It's a very difficult question, but I'm looking for how you guys are thinking about this?
Edward Murphy: No. I don't know that it has a direct correlation to bookings and revenue. What it does have a direct correlation to is the deal size that we're able to fulfill on, the types of niches that we can deliver for clients when they're looking to target specific groups of people or specific demographics, the value of the data that we're able to gather is also of huge importance, and really the overall value of the asset that we've created with the network and the technology. So I don't know that there is a one-to-one ratio there, but it certainly helps our team be able to deliver on what the clients are looking for and be able to spend the dollars that they are looking to spend.
George Kafkarkou - Private Investor: I get it. It's a bigger canvas for us, for the customers. I get it.
Edward Murphy: Even looking at things, like Ryan had mentioned, looking to expand into political markets, we have to have people that are comfortable talking about sensitive issues. So having a network that can reach that and that can deliver that audience for the client is of huge importance.
George Kafkarkou - Private Investor: Can you guys talk of your cash position as of where we are in Q4, in the middle of Q4? I mean, I noticed the cash position was $7.9 million as of the end of September. Are you in any position to share where we are now?
Edward Murphy: We are not really in a position where we're going to share that, as of right now. We'll be sharing that when we file the Q for the next quarter. But we continue to manage that cash in a very responsible way and we're definitely keeping an eye on burn.
George Kafkarkou - Private Investor: If I have read this properly, there was $3.24 million that came in from warrants in Q3. I haven't done enough research on this, I apologize. Are you expecting more in Q4 or even Q1?
LeAnn Hitchcock: The warrant income for the quarter was $2.3 million for the quarter, and it's about $5.5 million for the nine months. Really that's all a factor of what the stock price does. So if the stock price is decreasing, we're posting an income to the book, because the value of the warrants, on the liability side is going down. If the stock price increases, which we are wanting to see, then we actually start recognizing losses through the income statement, because the stock price is increasing and the value of those warrants are getting more valuable.
George Kafkarkou - Private Investor: Yes, so clearly, we want to recognize as many losses as we can on this. I get it. And so Ted and Ryan will tell you, I am with you on that. No problems. The final question I have, and I'm grateful for the opportunity to ask the questions. The final question is that clearly the new IZEA platform is very rich, very powerful, very forward-thinking, industry leading. How would you characterize the IP and patent work you guys have towards that?
Edward Murphy: I think that we're in pretty good shape. Obviously, we don't know until we get further down this process, and unfortunately it is a very long process. But the firm that we're working with is absolutely phenomenal. And I feel like we're going to be in a pretty good shape. I mean what's important to understand is that a lot of what's actually covered in that patent application has not even then realized yet inside the actual system. So it is much broader than the current implementation of the platform. And as I was creating that patent application and getting the ideas down, I was really looking towards what this thing look like four or five years from now. So we still have a very long roadmap of features and functionality. We've got a lot of great ideas that are all done generating additional revenue. And I feel very strong that we will be successful on at least parts of that application process.
Operator: At this time, I would like to turn the call back over to management for any closing comments.
Edward Murphy: I'd like to thank you all for joining us today. We really appreciate the interaction and the questions. Again, I look forward to meeting you guys, if you are at the LD Micro Conference and we're going to be doing some non-deal road shows as well here in the near future. You can always reach out to me directly. My email is ted@izea.com. Always happy to jump on the phone with you and share what I can about the company and what we're doing. With that, I'd like to wish you all a great day.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. And have a great day.